Operator: Good morning and thank you for participating in the Q1, 2014 Earnings Conference Call from Melco Crown Entertainment Limited. At this time all participants are in a listen-only mode. After the call we will conduct a question-and-answer session. Today’s conference is being recorded and I will now like to turn the call over to Geoffrey Davis, Chief Financial Officer of Melco Crown Entertainment Limited. Over to you, sir.
Geoffrey Davis: Thank you, operator and thank you everyone for joining us today for our first quarter 2014 earnings call. On the call with me today are Lawrence Ho, Ted Chan and Ross Dunwoody. Before we get started, please note that today's discussion may contain forward-looking statements made under the Safe Harbor provision of federal securities laws. Our actual results could differ from our anticipated results. I will now turn the call over to Lawrence.
Lawrence Ho: Thank you, Geoff. Hi, everyone. I'm pleased to report another strong quarter with property EBITDA expanding 31% year-over-year on a reported basis and 26% year-over-year on a luck-adjusted basis. Driven once again, by success of our impressive flagship property City of Dreams. Despite no new additional supply in Macau. The market has performed strongly growing almost 20% during the first quarter of the year. With the mass market table game segment expanding almost 40%. As part of our ongoing table optimization strategy, we have shifted a meaningful number of tables to the mass market floor at City of Dreams during the first quarter building on the table movements in the fourth quarter last year. This proactive approach in moving tables demonstrates our commitment in driving table yields and ultimately profitability across our group. We also continue to make new immerse enhancements to our amenities at City of Dreams including our extremely well received premium slot area, which opened before May, Golden Week, as well as other upgrade to our gaming floor layout and F&B offerings. While temporarily disruptive, we anticipate that these improvements at City of Dreams together with our table optimization strategy will position this unique property to compete strongly both in the near and longer term enabling us to further extend our leadership position, in mass table units across Macau. Given our market leading premium offering at City of Dreams. We are confident, we will continue to pick market share in the mass market segment in Macau. In terms of our development pipeline, City of Dreams Manila is due to open later this year. Studio City is to open in mid-2015 and our fifth and final hotel tower at City of Dreams is due to open in early 2017. The opening of City of Dreams Manila will mark our formal entrance as a regional entertainment and gaming player. The development of the property progresses well and upon opening we'll bring an exciting mix of gaming and non-gaming amenities not yet available as Manila. The integrated resort is designed to feature a collection of world class brands, which we will target a multi-peer local, international customer. Our hotel brands including Crown Towers, Nobu and Hyatt Hotel together with our family entertainment center, night club and various other non-gaming amenities will cater to a broad range of customers taste and preferences. Studio City remains on track to be the next end of lower integrated resort in Macau. Upon opening in mid-2015, this cinematically theme resort will bring a new level of entertainment in Macau. Significantly broadening the appeal of Macau as a multi-facet entertainment proposition. We expect to top off the hotel tower in the summer, 2014 and begin the later stages of fit out in the coming months. We also recently announced details of our fifth and final tower City of Dreams Macau, in collaboration with the internationally acclaimed, Dame Zaha Habid. This exciting development will be a truly iconic statement for Macau cementing City of Dreams decision as the leading premium focus integrated resort in the region. The new tower is expected to open in early 2017 with developments currently underway. With that, I'll turn the call back to Geoff.
Geoffrey Davis: Thanks, Lawrence. We reported property EBITDA of approximately $388 million in the first quarter of 2014 versus $295 million in the first quarter, 2013. Our property EBITDA margin in the first quarter of 2014 was approximately 28.8% compared to 26% in the first quarter of 2013 and 28.5% in the fourth quarter, 2013. On a luck-adjusted basis assuming a VIP win rate of 2.85% across our entire rolling chip business, our approximate first quarter 2014 property EBITDA was $380 million in line with the previous quarter and approximately 26% over the first quarter of 2013. Driven by an increasing contribution from the mass market segments. Our first quarter 2014 luck adjusted property EBITDA margin increased almost 350 basis points on a year-over-year basis to 29.3% and up from 28.6% in the fourth quarter, 2013. The EBITDA contribution from our non-VIP segments represents approximately 80% of luck-adjusted EBITDA at City of Dreams and over 75% of our luck-adjusted EBITDA on a group wide basis. As we normally do, we'll give you some guidance on non-operating line items for the upcoming quarter. Total depreciation and amortization expense is expected to be approximately $95 million to $100 million. Corporate expense is expected to come in at around $24 million to $26 million and consolidated net interest expense is expected to be approximately $31 million to $33 million, which includes [indiscernible] these interest of $10 million an interest on Philippine note, $6 million relating to City of Dreams Manila and approximately $17 million of interest expense associated with Studio City net of approximately $19 million. Capitalized interest relating primarily to Studio City and City of Dreams Manila that concludes our prepared remarks. Operator, back to you for Q&A.
Lawrence Ho: Operator?
Operator: Yes, sir. We will now begin the Q&A session. (Operator Instructions) We have the first question from the line of David Bain. Please ask your question.
David Bain – Sterne Agee & Leach Inc: Great, thank you. Lawrence, just given multiple press reports than everything from junket the UnionPay at the visas, is there anything that you would consider making change your stance for your gross gaming revenue projection for this year?
Lawrence Ho: Hi, Dave. It's Lawrence. No, I think so far the first quarter of the year, is up 20% and even year-to-date factoring in April. The market is still up over 17%. I think at the end of last year, we had predicted that, the market will grow at mid-teens. So I think so far the market is growing very healthy. We continue to be very pleased and impressed with the growth, but I think with regards that junket explosion and UnionPay and all those visa issue. I think sometimes, new stories in the industry here gets too polarized and I think at the same time, I think you and your colleagues and the financial research community also do a very good job in explaining it. So I think all-in-all, we were pleased with the growth and I think ultimately, as a long-term secular story in Macau and it's growing right along.
David Bain – Sterne Agee & Leach Inc: Okay, maybe if we can get your deeper thoughts on a potential share repurchase authorization. I mean, given some of the issues that have caused and telling others to go low recently. It seems it's more like you say, kind of press or Wall Street-oriented better than Macau market oriented, is there anything in particular stopping you from having something in place in these events occurred?
Lawrence Ho: No, I think we are discussing that at the board. We recently announced our maiden dividend. So we are strongly committed to returning capital to our shareholders and like I've said on many occasions previously, I think between myself, Melco and Crown, the founding shareholders of the company were totally aligned with more shareholders on that front, but at the same time we want to be conservative in that. We do have some serious CapEx this year as anything, I'm sure Geoff can add on more color, but this is our heaviest CapEx year and we have discussed in the past and at the same time. I think what some of the recent positive news coming out of Japan hopefully legislation will move forward in the very near future as well. So I think as the board takes a position, we want to really analyze the CapEx spend over the next few years, but given where the market is right now and the sentiment in the market. I think we have a very dynamic board and we have a board meeting coming up soon. This will definitely be a topic of discussion.
Operator: We have the next question from the line of Billy Ng. please ask your question.
Billy Ng – Bank of America Merrill Lynch: Thank a lot, good evening. I have two questions. One is I just want to ask about your premium mass segment. You guys obviously as a leader in the segments and used to be having a very strong growth. First quarter number still good, but we start to see a little bit of slowdown or decelerate in terms of growth and I can't think of anything structural here, but can you give us some color, why? Maybe it's just quarter-over-quarter thing, we should not pay too much attention, but I just want to see any particular reasons and the medium, longer term is there any change of the strategy in this segment?
Lawrence Ho: Billy, I'll Ted give more color. It's Lawrence. I think ultimately with City of Dreams positioning and if you look at where we're spending money to continually improving on the property with the new tower and the various projects we are working, then also don't forget in the first quarter and part of this quarter. We've had some serious disruptive work on the floor at City of Dreams to again – for the longer terms improve the experience for high limits slot area and also some food and beverage offerings that we're fixing up. So I think all in all, the positioning longer term remains. I think our competitors have also done a very good job. We are in an ultra competitive market, but at the same time we are committed to be on top of the premium mass market. So maybe I'll let Ted share more color.
Ted Chan: Billy, hi. In the first quarter, rope renovations on the casino floor particular in the premium mass area. Inevitably, we've had a little bit of disruption in terms of the business. We are quite confident with return strategies in terms of table optimization and we continue to pull resources from the VIP or Altria the more lucrative or high margin mass business in CoD, and also with the strategy with the high growth area, particularly in the mass area. And also if you look at the markets, we don't see currently any evidence of competition in terms of marketing or pricing. This order power competing surfaces and amenity for environment and enhance our customer experience. So what we are doing now, is actually improving the premium mass area, would eliminate disruptions. I think the second quarter, I think we have a good momentum, so that's what we are experiencing.
Billy Ng – Bank of America Merrill Lynch: Thanks and just second question, more like a number question. Can you give us some update on the split between the EBITDA from the VIP mass and we kind of have this below 35% at some point. I just wanted to see what's the latest from the VIP contribution?
Geoffrey Davis: Bill, this is Geoff as I mentioned in the prepared remarks about 80% of our EBITDA at City of Dreams is non-VIP and consolidated basis about 75% is non-VIP.
Billy Ng – Bank of America Merrill Lynch: 75% for the whole company, right? Okay, all right. Thanks.
Operator: We have the next question from the line of Karen Tang. Please ask your question.
Karen Tang – Deutsche Bank: Hi, thanks. My questions have been answered. Thank you.
Operator: Thank you. We have the next question from the line of Anil Daswani. Please ask your question.
Anil Daswani – Citi: Good evening, guys. Just a quick one on Altira and you continue to move tables as we can see from Altira across the COD. Have we've got to a level now where it's probably very difficult to move even more given your now down to what about 130, 140 tables left at Altira. So that's my first question and the second question. Clearly, I know this was asked earlier but, you know trying to comment on some of this UnionPay/initiatives, did you guys have any issues with any of these UnionPay terminals across at CoD as well or will this just centered around one or two specific casino's?
Lawrence Ho: Hi, Anil it's Lawrence here. Again let me answer the first parts of the question. I think on Altira we are agnostic to where the business comes from within the company. We do think that longer term Altira has its value and that ultimately we will continue to move tables away from it, if we get high using tables at City of Dreams. So we are totally agnostic to it and we will continue to analyze what's best for the company and then what's best for ultimately EBITDA cash flow and shareholder value. Regarding the UnionPay, we haven't I think if you read the UnionPay had a press release carefully and I think a lot of you guys have already highlighted, it's targeted towards these illegal mobile units and we're at, UnionPay is not saying that people shouldn't be spending money with their UnionPay cards in Paris, Milan or even in jewelry shops in counter. They get a additions via these illegal units that are masquerading as if they were in China, but really they're taking place overseas such as Macau. So we haven't seen any of that, I think if anything we think is going to be positive going forward.
Anil Daswani – Citi: I'll be agreed. Thanks, Lawrence.
Operator: We have the next question from the line of Bryan Maher. Please ask your question.
Bryan Maher – Craig-Hallum Capital: Good morning, I guess good evening over there. Two questions, one could you be a little bit more specific as it relates to the timing of the opening in Manila and then secondarily, can you drill down a little bit deeper with respect to your outlook for Japan, what location you might want to be in and whether you would be agreeable to partnering with a local entity over there?
Lawrence Ho: Hi, this is Lawrence. In terms of Manila, we continue to – we're planning for around the middle of the year and the second half of the year. Again, I think we don't want to open the property that we are not ready to, we've learned the hard way in Macau before. So we really want to make sure, given this is a new jurisdiction for us and as a new property. We want to be 100% ready, so again we're going to keep the opening stay very close to our chest, but I thing that I can give you some color on is the fact that we've already hired around 3,000 people out of the 5,000 people that we need. So it's – we're getting there, but again because we want to make sure that this is a very smooth opening in a new market. We'll announce they're much closer to the actual opening day. With regards to Japan, we've continued to lobby and have met up with whole bunch of local partners. I think back 8 years, 10 years ago when we first started the Japanese initiatives and the lobbying efforts. We've always maintained that, we believe Japan will need a local partner and we are very respectful to their local cultures and so I think ultimately, we are very amenable to our local partners and I think similar to other global gaming companies. We are interested in the bigger cities because ultimately, we look out what Melco Crown has done with are, integrated resort push is, we don't go into everything on market. I think, we only go into markets where we think we can make a difference in markets where we can have a substantial investment in, so I think ultimately similar to other global gaming companies operating in Macau in Asia. We would be looking at one of the bigger cities.
Operator: We have the next question from the line of Aaron Fischer. Please ask your question.
Aaron Fischer – CLSA Limited: Hi, everyone. Hi, Lawrence, Ted and Geoff and Ross. I had a question on the Philippines. I was actually down in Manila, a few weeks ago and I had a look around your property and was quite impressed. We are very excited about the opening, but can you just talk a little bit about whether do you think you can grow the market substantially. We think, you cannibalize some other properties or what strategies you have in place to try and attract overseas visitors, the first question And then secondly in terms of table allocation, what's your latest thoughts in terms of the number of tables that you should receive, the Studio City very model, bearing in mind that I think Steve Wynn was talking about 550 tables for Wynn, eventually? Thanks
Lawrence Ho: Hi, Aaron on Manila. We continue to be very encouraged by what's happening in that market. If you look at some of our competitors recent quarter's results. They do show that the market is growing and both on the local, domestic front and also on the international visitation front. But I think a major difference for us is that, when we open we will be the second property to open in the entertainment city on Manila Bay area. And based on the experience that we've seen in Macau. You know for instance, when Venetian first opened and the City of Dreams opened. You have a lot more synergies between the two properties and you really do start building from scale within that area. So we are very encouraged on that front and I think Philippines is working together with some of these foreign direct investment and companies like us, we are gradually removing some of the past reception of the market and I think even a lot of our customers and the junket that we've spoken too so far are very interested in that market as a additional market in South east Asia. We still maintain the point that, it's geographically and located in a very beneficial area. It's located directly in between for instance Singapore, most of North Asia. So you know I think we are looking forward to that opening and looking forward to the growth of that market.
Aaron Fischer – CLSA Limited: On that center, Lawrence – on the Philippines is there anything you can do in terms of is leveraging your existing customer base in Macau? Because I think the problem that Bloomsbury had initially was that they didn't have a customer base outside the Philippines they could leverage, so do you have any specific strategies that you can implement to do that?
Lawrence Ho: You know I think so far the properties, the local property operations of management team working very closely with the Macau operational team and there will be one, there will be a lot of cross-selling and cross referrals and at the same time. A lot of these success factors, that we have in Macau such as signature club and some of our famous food and beverage restaurant are also going to be down there and at the same time. Our international marketing and also in our premium mass marketing units also sharing a lot of data. So on top of the database that we benefit from our local partner in the Philippines, which is SM we are also making full use of the database. As you know, over the last couple of years the premium positioning the City of Dreams has only gone up further. So this is a great opportunity for us to open up part of the database, that we have in really enabled who accommodates and give them a fantastic experience in the Philippines. So yes, a lot of that is part of the planning and together with some of the infrastructure improvements in the Philippines. We are highly encouraged.
Aaron Fischer – CLSA Limited: And the second question on the tables switching please?
Lawrence Ho: And in terms of tables, I know – I heard Steve Wynn's call as well. I think ultimately, if he can get 552 tables that will be great for the us and for the other operators because I don't look at this as a zero sum game because if you look at the positioning of the properties and the contribution by the various companies in the Macau market and what the government wants, which is diversification and investment in non-gaming amenities. I don't think anybody has done more than Melco Crown. So if Steve can get 552 tables, I'm very confident that we'll get off their share.
Operator: We have the next question from the line of Lawrence Haverty. Please ask your question.
Lawrence Haverty – GAMCO Investors, Inc.: A couple infrastructure questions, what's the status of the new ferry terminals and how much is actually going to be finished in Henggin Island by the time Studio City opens? And what's you [market] balance on the bridge from Hong Kong?
Lawrence Ho: Well, you know I think the ferry terminals government, the latest announcement out of the Macau Government is that they do continue to look forward to opening at the end of this year. So which would be great timing for Studio City and the next wave of integrated resorts to open on those time. With regards to Henggin Island as you know Chimelong Oceanic Resort has open it's phase one and I think are gradually opening up more phases, but I think even with what it is right now it's very substantial to get a lot of visitation. If anything was beyond their expectation and the visitation during some of the recent holidays areas and with regards to the Hong Kong – Zhuhai – Macau Bridge again that's a China led initiative and so far in Zhuhai and Macua. If you travel to Macau, the way I do all these type of these supporting structures already out of water and its right now it's all scheduled for some time at the end of 2016.
Operator: We have the next question from the line of Grant Govertsen. Please ask your question.
Grant Govertsen – Union Gaming: Good evening, guys. Most of my questions have been asked, but let me ask a follow-up on Aaron Fischer's. in the Philippines, sounds like there may have been some positive news on the taxation front of late, could you give us your thoughts there and then back in Macau if could provide us that current split between VIP at mass tables, if you can? Thank you.
Lawrence Ho: All right, Grant let me answer the first one. The Philippines, I'll hand it over to Geoff and Ed. You know, I think on the Philippines, yes, as we've been waiting for PAGCOR and also the local Philippines government to make the ruling. I think based on what we've heard from PAGCOR today, they're going to have an announcement imminently and we are highly, I think over the last year. We have been in active dialog with PAGCOR [DIRR] issue that says income tax issue. So you know I think I'm very, very confident that is going to be a very positive outcome for us and so finally put a an end to that chapter. So I think on the Macau split.
Geoffrey Davis: I can give you on the profit level. In Altira, we have in VIP we've 110 tables and 13 mass. In theory, we have 194 VIP tables and 290 mass tables.
Operator: We have the next question from the line of Simon Cheung. Please ask your question.
Simon Cheung – Goldman Sachs: Hi, morning and good evening everyone. Two questions, just a follow-up on the UnionPay comm. I'm just trying to understand you know Lawrence, you've said that the cracked on is really on the easy go mobile devices, how important this is Union card to you for your I guess the growth of the premium mass settlement and I'm trying to ask the question because I'm trying to understand if there's any further cracked down in the UnionPay cut, how would that affect your business, that's the first question. The second question is on the CapEx, if Geoff maybe you can provide some CapEx breakdown maybe in the coming quarters?
Lawrence Ho: Hi, Simon. It's Lawrence let me answer the first part of the question on union deck. I think UnionPay is not a Macau phenomenon because UnionPay is the most commonly used kind of credit-debit card system out of China. So whether you're in Paris, Milan, Hong Kong or Macau. UnionPay is slightly used. So whether you go into Hermes or Chanel is Paris. UnionPay is only the most popular form of payment. So if there were any type of crack down on this, it's really, it's going to be a global phenomenon. That's going to affect the global economy. I think given the fate of the geopolitics right now. I don't anticipate that to be amazed thereafter. I think in terms of how much, I don't think there is real statistics and the biggest all and we don't, on these calls we don't want to give you guesstimates or best guess there is no real legitimate statistics that tells you how much of it because ultimately. So people are buying goods in Macau and so how much of that goods is return or exchanged, you know is very hard to measure.
Geoffrey Davis: Simon, this is Geoff from the CapEx perspective in the second quarter, we are looking to spend in the order of $375 million in the third quarter and fourth quarter is about $475 million.
Simon Cheung – Goldman Sachs: And do you have, perhaps a breakdown of that numbers. How much would be for Studio City would be for maybe the new tower?
Geoffrey Davis: For Studio City about $120 million in the second quarter, $250 in the third quarter, $350 in the fourth quarter and for the fifth hotel tower about $40 million to $45 million per quarter for the second quarter, third quarter and fourth quarter.
Operator: We have the next question from the Sachin Kewalramani. Please ask your question.
Sachin Kewalramani – Analyst: Thanks for the call. Look just I wanted to go back quickly to this UnionPay and just the general. Lawrence as you point polarized news flow. This is clearly driving the stocks, much as we'd like to focus on the underlying fundamentals. So I wanted to understand actually, when exactly did this UnionPay action that's been referred to start or take place and have you seen any material impact on the business on the ground and then the second, if this is so far – do you have a sense of how prevalent those machines were on your property or in general? And then last – broader track down on? Hello, can you hear me?
Lawrence Ho: Sachin, [indiscernible] can you repeat the last question?
Sachin Kewalramani – Analyst: Yes, so the last thing. The UnionPay crack down on these mobile machines, this action when exactly did it start and have you seen any material or any impact on your business and then I was just going to follow-up. Lawrence, you pointed out that the new flow does get polarized on Macau. It seems to be painting a picture of a broader crack down in money laundering in China. Do you get the sense that this is actually part of a bigger move to control some of these open loopholes and foreign exchange movements?
Lawrence Ho: Why don't I answer the last question, first then I'll hand it over to Ted and Geoff on the detailed, the UnionPay. No, I don't sense that there is a overall more draconian view from China or Macau. To be honest again, I think it's really news flow that is driving then and I think they're in more opposite sentiment. These news stories aren't as widely communicated, but then these ultimately the UnionPay they -- to be honest personally, I've actually never seen a UnionPay mobile until myself. So I think all this UnionPay transactions that take place on City of Dreams, whether is that Gucci or a Jewelry Store. I've never seen a mobile unit. So it's always at the store and so is that quite similar to what happens worldwide but I think one thing that I can very confidently say is that. We haven't seen any negative impact with regards to business. If anything, we've had a great start to Q2, I'll let Ted elaborate on that further, but I think in April which seasonally a slower month. We had a great month and I think we gain share on our competitors and Golden week was phenomenal as usual. So I don't know Ted, if you add more color on UnionPay?
Ted Chan: Well, Lawrence I confirm is actually I think all the UnionPay and few of these legally established, has something that I can confirm for our tenants in few of the, they're using UnionPay units are legally established and that's the only thing, that I can confirm here. In terms of the business, I don't see any also any evidence or show any slowdown because of current news about UnionPay list.
Operator: We have the next question from the line of Richard Huang. Please ask your question.
Richard Huang: Hi, my question has been answered. Thank you.
Operator: Thank you, sir. We have the next question from the line of Praveen Choudhary. Please ask your question.
Praveen Choudhary – Morgan Stanley: I have two questions, the first one is relating to VIP business. There are two news, one was in terms of junket liquidity that could come under pressure after couple of use of one of the agent or junket run away with a $1 million. And the second one was recent one transit visa basically slumping down from July onwards from seven days to three days. Which should actually impact all the agents in junket that's more than the normal visitors? The question is basically, what you guys think about the VIP business and outlook in the next several months and then I have a follow-up question. Thank you.
Ted Chan: This is Ted. In terms of liquidity and the incident that reported in media. We can confirm that, we don't – in that incident we do not have any credit exposure to that particular junkets in portfolio [MCE] and also you can look at the previous couple weeks or let's say in the last two months in terms of the liquid, in terms of positivity in our portfolio. There is no evidence showing any deterioration in terms of liquidity. Of course, in terms of the current happening we will monitor, the situation very closely on that particular issue. In terms of the visa straightened from seven days to two days, three days. I think today the Macau Police or Government already denied that they will implement that shorten from seven days to two days, three days.
Praveen Choudhary – Morgan Stanley: Okay, thanks for that. I've something that, the question was not related to whether your exposure to the credit to that junket was there or not, but clearly the individual industries, who were investing with these junkets will become cautious and they will not invest with them at a very high rate of, let's say 1.5% per month. And not only impact the overall market and the junkets ability to arrange money to run this businesses and whether there will be an impact or not. April number was 1% year-over-year growth clearly lower than the first quarter number. So there is your slowdown, but it's just a one month data. Well, I want to understand if you're seeing your business or broaden market anything that concerns you on the VIP side?
Ted Chan: As you said, it could be little too short in terms of the data points, but April. You're right, but in terms of May 1, holiday we see some great momentum as well in these few days so, it is too early to say so but we are monitoring our credit positivity very closely and so far we didn't see any evidence in seeing this sort of deterioration at the moment.
Praveen Choudhary – Morgan Stanley: Okay, great and then I have last question on a follow-up on the older question about Wynn's ability to claim that they can get 552 tables. I'm just wondering because you're going to open before them as per the current schedule. What's remembered, that you're telling us and how do you get comfort around that number? And I'm just trying to understand the confidence level here pinpointing on a certain number and then related to that is construction delays, do you see anything [indiscernible] five of you're building the casino at the same time. Obviously, all of them are mega casinos takes like huge amount of constructions workers, so can you talk about that too? Thank you very much.
Lawrence Ho: Hi, Praveen . It's Lawrence. In terms of Studio City, we continue to – we are good corporate citizens and we'll continue to work with the Macau Government and we have capacity of up to over 500 tables to 550 tables capacity at Studio City. To be honest, I think the government is going to much closer to the actual date, that's when they will work out the allocation. So we will see what happens on that front, but in terms of construction we cannot be more happy with the construction. Studio City is progressing very well, is up to around the 15th floor. Like I said in the prepared remarks, we hope to, we target to top off the building sometimes during the summer. We have already side of moving into the podium is tops out and we are doing a lot of work within the podium already and I think frankly given the start time of the project and the amount of time, we had to design and fine tune it. We will probably be one of the projects that will get, the best value out of the budget. Since we are, probably a year or so away. We are reviewing the budget at this point in time to see whether we can improve on it further.
Operator: We have the next question from the line of Billy Ng. please ask your question.
Billy Ng – Bank of America Merrill Lynch: Hi, sorry. I do have a follow-up questions on Praveen's questions regarding the visa change. Like transit visas policy change. I don't know whether, you have done a study or if there's such a change and we don't know – in fact new policy aspect, but how much business will be impacted in terms of mass or VIP. Even a very rough estimate will be fine or if how do you see this impacting your business?
Ted Chan: Bill, this is Ted. We see a trend of enough database looking at our previous three years. Trend in terms of premium mass customer. The higher end of ADT the longer stay of this customer and more so, you see a lot of them are coming from the non-Guangdong provinces. So I guess, with the traditional IVS program, they've coming over to Macau, visa build customer. Are visa of those, we are targeting customers. I don't believe the transit visa, I don't believe that most of premium customer going through step out all. What I can see, is actually a trend of non-Guangdong [indiscernible] more.
Billy Ng – Bank of America Merrill Lynch: Thanks and then can I ask, how often do they come normally? Three times a year, 10 times a year, how many trips do they usually come?
Ted Chan: Bill, I think it really depends on what type of customer, we've have grown to as I've said. The higher ADT or high end of customer. The longer they stay and more frequently come. So they don't really rely too much on the gray area in terms of visa applications, a more legitimate way in terms of travelling to Macau in our database.
Billy Ng – Bank of America Merrill Lynch: Right, but I'm trying to see like your typical customers are they like very frequent customers in terms of travelling to Macau visiting property's like 10 times a year, 20 times a year. Is that a typical numbers or we don't have typical customers so called?
Ted Chan: Billy, it's more – the beauty of Macau is just so big. We have so many customers, it's very hard to find a put customers into, there are people that come more frequent and then there are others, who are less frequent. So – but I think on average, we've always said people do come four times, five times a year. Those are the best customers.
Operator: We have the next question from the line of Robin Farley.
Robin Farley – UBS: Great thanks, most of my questions have been answered, just one follow-up when you were talking about the allocation of tablet for Studio City. I guess, I wanted to ask, what in your view will be the determining factor there? Do you – are you under the impression that it's geographically related to the investment dollars that you make in that property or that it's related to the size of the properties or I guess, what do you think is going to be the biggest determining factor in that allocation over the resorts opening?
Lawrence Ho: Hi, Robyn it's Lawrence. I think what the government has been very consistent with us. The Macau Government over the last few years is talking about and even when they talk about license renewal and somebody out there. Longer term issue, the common theme has always been diversification and investing in non-gaming areas. So again, we view it has been a significant point of differentiation for us. I think that's an area that we've done well in with City of Dreams, but furthermore, there is even more of these attractions at Studio City. So I think no matter how you skin it, the way we look it. We're very well positioned.
Operator: I would now like to hand the call back to Mr. Geoffrey Davis.
Geoffrey Davis: Thanks, operator and thanks everyone for joining us today. We will see you in three months. Thank you.